Operator: Good morning. My name is Tasha and I will be your conference operator today. At this time, I would like to welcome everyone to the Casella Waste Systems, Inc. Q1 2018 call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. I would now like to turn the call over to your host, Mr. Joe Fusco. Please go ahead.
Joe Fusco: Thank you for joining us this morning and welcome. With us today are John Casella, Chairman and Chief Executive Officer of Casella Waste Systems, Ed Johnson, our President and Chief Operating Officer, Ned Coletta, our Senior Vice President and Chief Financial Officer and Jason Mead, our Director of Finance. Today, we will be discussing our 2018 first quarter results. These results were released yesterday afternoon. Along with a brief review of those results and an update on the company's activities and business environment, we will be answering your questions as well. But first, as you know, I must remind everyone that various remarks that we may make about the company's future expectations, plans and prospects constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by those forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent Annual Report on our Form 10-K which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. These forward-looking statements should not be relied upon as representing our views as of any date subsequent to today. Also during this call, we will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures to the extent they are available without unreasonable effort are available in the appendix to our Investor slide presentation, which is available in the Investor Section of our website at ir.casella.com. And with that, I will turn it over to John Casella, who will begin today's discussion. John?
John Casella: Thanks Joe and good morning everyone and welcome to our first quarter 2018 conference all. We couldn't be more pleased with our first quarter 2018 results. As reported in yesterday's press release, our revenues for the year were up 10.2% from last year, adjusted EBITDA was up 6.4% from last year and we continue to drive strong cash flow conversion with our normalized free cash flow up $6.1 million year-over-year. The continued execution of our strategies is evidenced in the numbers as we experienced a banner quarter for solid waste price and volume. We maintained discipline and focus on our solid waste pricing programs given the continued tightening of the Northeast disposal markets. Our strong financial performance in the solid waste group was muted by the recycling commodity price headwinds. Despite the recycling pressures, we remain confident in our ability to continue to execute well across all other segments and we have reaffirmed our guidance ranges for 2018. We are executing well against our 2021 plan that we first laid out last August in 2017. With the 2021 plan, we continue to focus on our core strategies which have been working exceptionally well. These strategies include three key areas, increasing landfill returns, driving additional profitability within our collection operations and creating incremental value through resource solutions. In addition, we introduced two new areas of focus as part of our new 2021 plan, reducing G&A cost and improving efficiencies and allocating capital to balance delevering with smart growth. We continue to enhance landfill returns through price execution, operational programs, the sourcing of new volumes at higher prices in our efforts to advance key permits. During the first quarter, we increased landfill pricing by 4.9% and increased landfill tons by roughly 19% year-over-year. Both of these metrics underscore the tight disposal dynamics across the Northeast. We had one landfill permitting win during the quarter. In March, the DEP approved a 182 month or about 18 months -- excuse me, about a year-and-a-half -- excuse me, 182 month extension of our Juniper Ridge permit to dispose roughly 82,000 tons per year of non-bypass, in-state municipal solid waste at the site. We are continuing to work with the state on a permanent solution given the ongoing need for long-term MSW capacity in Maine. This gives us a great opportunity to continue that work. Expanding a permitted landfill capacity is an ongoing challenge for all solid waste operators in the Northeast. Northeast has one of the toughest regulatory and political environments in the country. The good news is, most of our landfills have over 15 years of permitted capacity. We continue to fire on all cylinders in our hauling business with another strong quarter of price execution and continued focus on operational efficiencies. I will have Ed run through the details on hauling but our teams have been doing a great job working to cover up the recycling commodity headwinds with the SRA fee while still working to advance key long-term operational programs. The financial gains in the solid waste business were partially offset by greater than expected headwinds in the recycling business due to China's ban on mixed paper and lower contamination standards. Our average commodity revenue per ton was down roughly 50% year-over-year, with mixed paper pricing down over 90% during the same period. The risk mitigation programs that we put in place over the last several years are working well and offset most of the commodity price declines during the quarter. These programs include revenue share contracts that share commodity revenues above the threshold with our customers or below the threshold those customer pay dollar-for-dollar processing fee. Our net average commodity rate formula that allows us to pass back increased cost to sell commodities including higher labor or equipment cost to meet new quality standards and our floating SRA fee that works like a fuel surcharge for our hauling customers where the SRA fee goes up when commodity prices drop to ensure that our customers are covering their true cost to recycle. We remain confident about our risk programs and our ability to improve recycling financial performance even in these historically low markets. Ed will run through further details on how we can further improve our financial performance through recycling in these low commodity price markets. Recycling, as we know it today, appears to be changing rapidly before our eyes due to geopolitical dynamics with China. We operate in a highly regulated industry, especially in the Northeast where politicians and regulators have dictated what needs to be recycled and established bans on certain items in the landfills. As I said before, we do not set public policy in solid waste industry, politicians and regulators set policy. It's our job to provide safe, environmentally secure waste and recycling services that comply with laws, including recycling laws. As such, Casella and other industry need to work to provide our customers with economically viable services to meet these laws which means that as an industry or as a company, we can not take on recycling commodity risk and we need to pass back the true cost of recycling to our customers. We also need to innovate and improve recycling processing, find new uses for recyclables, work with manufacturers to develop more responsibility for their streams and certainly work with our customers to clean up the stream before it hits the merc. With our G&A strategy, we have set a goal to reduce G&A cost by 72 to 100 basis points as a percentage of revenues by 2021 and more importantly to reorganize our resources and invest in intelligently to drive long-term profitable growth. We are pleased with the early progress we have made which include successfully closing our Q1 2018 books with our NetSuite ERP system, which was launched recently, essentially on time and on budget. Just a tremendous effort our entire team to make that happen, really terrific, terrific effort. This marks a key step as part of our technology plan and significantly furthers our ability to increase back-office efficiencies over time. Moving on to our strategy of balancing delevering with smart growth. We have set a goal to grow revenues by $20 million to $40 million per year through acquisition or development activities for the next three years and we are off to a tremendous start. During the first quarter, we closed two acquisitions and over the last four months, we have acquired approximately $20 million in revenues. This was comprised of several small tuck-in operations and more notably the acquisition of Complete Disposal, an integrated solid waste company in Western Massachusetts. As we have highlighted in the past, we view the Complete acquisition as a great strategic fit with our operations and long-term plan. Complete provides us with truck and rail transfer capabilities in the market that will see 800,000 tons of landfill capacity permanently close in 2018. The acquisition pipeline remains robust and we believe there are to be over $500 million worth of opportunities across our Northeast markets that could be direct tuck-in or great strategic fit. And we are actively working on the number of acquisition targets that we hope to bring on board over the next year. Our acquisition and development framework ensures continued discipline through alignment of strategy, financial returns and our resources. We are focused on opportunities that will generate returns well above our cost of capital, enhance our vertical integration, drive operating and G&A synergies, will either be immediately delevering or have a fast path to recognize synergies and cash flows to delever. Ultimately, we believe that we are in a unique position to grow our free cash flow at 10% to 15% per year or more given our organic growth opportunities and the range of acquisition and development opportunities in our pipeline. As highlighted last quarter, another area of focus for our team is on building and retaining key employees. Trucking companies across the country are struggling with attracting and retaining drivers and mechanics. We welcomed a new VP of Human Resources to the company about six months ago and are working on new program to build career paths for key roles in the company. We have done a great job over the years of developing and retention of key management roles, but it's important to extend this to the entire population. I would like a create career paths for drivers and mechanics to grow their career and earnings potential and from there, first and foremost to drivers and mechanics and from there throughout the entire company. Kelley is focused, our new VP of HR, is to really spend all of his time for the first year or so building career paths as Gerry Gormley, our VP of HR, is still with the company and is taking care of the day-to-day requirements of human resources. So it really gives Kelley an opportunity to have a jump to get a lot of that work done over the next year. Wrapping up, as reflected in our guidance, our 2018 plan is on track with our 2021 plan and displays continued execution of our key strategies with the goal of driving additional shareholder value. We expect the continued strength in solid waste pricing and volumes to offset recycling headwinds and as I mentioned, our acquisition pipeline is very robust and provides us with a great upside opportunity. And with that, I will turn it over to Ned to walk through the financials.
Ned Coletta: Thanks John. I wanted to start the call today by thanking my finance and IT teams for their extremely hard work and unwavering dedication to bring the NetSuite financial ERP system online in mid-February. We completed the full upgrade of our financial ERP system in 11 months, start to finish. This is a remarkable achievement and we believe that the new NetSuite cloud-based financial system will serve as a strong foundation for our five year technology plan to enable profitable revenue growth and drive operating and back-office efficiencies. Now onto the quarter. Revenues in the first quarter of 2018 were $147.5 million, up $13.7 million, or 10.2% year-over-year. There were a few mix changes in the quarter that grossed up our revenue, including a soil remediation project for a large customer and a new organic sludge for transportation in disposal contract. Excluding these two items, our revenues were up $8.2 million, or 6.2% year-over-year. Solid waste revenues were up $15.8 million, or 16.8% year-over-year with higher collection and disposal pricing, higher solid waste volumes, our risk recovery fees up $1.2 million and the rollover impact from acquisitions of $4.1 million. Revenues in the collection line of business were up $6.6 million or 11.1% year-over-year with price up 4.8%, volumes up 0.5%, risk recovery fees up 2% and acquisitions making up $2.3 million. Price was up across all lines of business. Revenues in the disposal line of business were up $9 million year-over-year, with the growth driven by strong pricing, higher volumes and $1.8 million of acquisition activity. We increased reported landfill pricing by 4.9% year-over-year and more importantly we increased average price per ton at the landfills by 5.9% as we improved our mix of customers and volumes. We increased our average price per ton by 8.1% in the Western region as we continue to focus on advancing pricing ahead of volumes. We expect these same positive pricing trends to continue throughout 2018 as we recognize the rollover impact of price increases already completed and we advanced further pricing increases in key markets. Disposal volumes were up $6 million year-over-year, with roughly 40% of this increase driven by higher landfill tons and roughly 60% driven by a $3.5 million soil remediation project for a large customer. Our customer wanted a single vendor to manage this small project. So our revenues were grossed up as we needed to hire third-party vendors to complete all of the soil excavation, screening, metals recovery and transportation work. Total cash flows improved with these additional tons to our landfills although the pass through cost compressed adjusted EBITDA margin by 15 basis points. Our total landfill volumes were a million tons during the quarter, up roughly 19% year-over-year with strengths across all waste categories. Recycling revenues were down $6.5 million year-over-year with $7.3 million lower commodity pricing, $1.8 million of lower volumes partially offset by $2.7 million of higher third-party tipping fees. This does not account for the higher intercompany tipping fees. Average commodity revenue per ton, or as we say ACR, was down $59 a ton or 46% year-over-year in the quarter, mainly on lower fiber pricing. Sequentially, commodity prices continued to drop throughout the quarter and they were down 37%, from December through March with most of this decline driven by lower paper and cardboard pricing. Overall mixed paper prices are down 90% from April 2017 to April 2018 and OCC prices are down over 50% during the same period. This negative trend has actually continued into April with commodity prices down another 17% from March to April as paper pricing dropped further. However, please note that the lower April commodity prices have been built into our guidance for the remainder of the year and we have actually modeled commodity prices to stay flat for the rest of the year. Organics revenues were up $3 million year-over-year on higher volumes. This was mainly associated with a new two-year sludge contract. This was a T&D contract that negatively impacted adjusted EBITDA margins by roughly 15 basis in the quarter as we passed through third party transportation and disposal cost. But please note that this contract requires no CapEx, has very strong free cash flow and high returns. During Q1, we initially internalized about 40% of the volumes and there is an opportunity to internalize more of this stream through the remainder contract to drive additional value. And customer solutions revenues were up $1.3 million year-over-year due to several new multisite retail customers and continued growth in our industrial services group. Adoption of ASC 606 or revenue recognition guidance reduced our reported revenues and cost of operations by roughly $1.5 million each during the first quarter, as compared to how we would have historically booked these transactions. To be clear, this accounting change did not impact the dollar amount of our operating income, adjusted EBITDA or cash flow, it just had a positive margin impact of roughly 15 basis points. Adjusted EBITDA was $24.6 million in the quarter, up $1.5 million year-over-year with margins down 60 basis points. The negative pressures from recycling weighed on margins by roughly 230 basis points overall during the quarter. The contaminated soils project, the organics T&D sludge contract negatively weighed on margins by about 30 basis points in total. And as I just mentioned, revenue reg improved our margins but about 15 basis points. Solid waste adjusted EBITDA was $24.9 million in the quarter, up $6 million year-over-year with strong pricing, higher volumes partially offset by higher intercompany recycling fees and also higher operating costs. Increased fuel costs were fully recovered by our floating energy and environmental fee during the period. Recycling adjusted EBITDA was down 44.1 million year-over-year with the decline driven by lower commodity prices, lower volumes, higher operating costs, partially offset by $6 million of higher tipping fees and lower rebates. Our operating costs were up by about $2.3 million year-over-year as we had to slow processing fees in an effort to meet tighter quality standards, residue costs were up as we pulled more waste out of the stream and third-party disposal rates were also up and our transportation cost nearly doubled during the period as we start to seek new markets such as India or Vietnam. Think about this, there are really no backhauls to the market like we had to China. Adjusted EBITDA was $1.8 million in our other segment, up roughly $100,000 year-over-year with increase driven by improved performance in the customer services group and higher organics volumes. Cost of operations was up $11.1 million year-over-year with the increasing cost mainly driven by higher volumes, acquisition activity and inflation in select cost categories. General and administrative costs were up $2.2 million year-over-year. This increase was mainly driven by higher labor and related benefits, higher equity compensation accruals and a tough bad debt comparison with a large recovery in the previous period. Depreciation and amortization costs were up $2.1 million year-over-year mainly due to higher landfill amortization costs on higher volumes. The first quarter included several unique charges, including a $2.1 million contract settlement charge related to ancillary recycling brokerage contract. I want to note that this is positive move for the company as we brought out of a contract for roughly a 50% cash return. We also booked a $1.6 million Southbridge landfill closure charge, with approximately $1.2 million of the charge related to a reserve established for the expected settlement with the Town of Charlton and we also had a $300,000 development project charge associated with cost around the North Country Landfill as part of our expansion efforts. Our normalized free cash flow was $7.2 million in the quarter, up $6.1 million year-over-year. This increase was driven by improved operating performance, positive changes in assets and liabilities, slightly lower CapEx mainly due to timing differences and slightly lower payments on landfill operating lease contracts. As of March 31, 2018, our consolidated net leverage ratio, as defined by our credit facility, was 3.77 times which is down 1.65 times since December 31, 2014. Our total debt was $514.1 million, which is actually up $16.4 million from December 31, 2017. Our debt is up sequentially as we completed two acquisitions in the quarter for a total cash purchase price of $18.8 million and we paid $2.1 million to exit that recycling brokerage contract. As we laid out on our 2021 plan, we remain focused on further reducing leverage in the business, with the goal of getting leverage down to three to 3.25 turns through continued capital discipline, balanced with smart growth investments and acquisitions. Our actions to reduce leverage, reduce debt and improve cash flows has not gone unnoticed. And on February 26, Standard & Poor's increased our corporate credit rating from B to B+ with a positive outlook. And on March 2, Moody's increased our corporate family rating from B2 to a B1. Just after the quarter, on April 2, we completed two small tax-exempt bond offerings. We successfully remarket our existing $16 million of senior unsecured VEDA tax-exempt bonds into a new two 10-year term rate bond at 4.625% fixed interest rate during that period. We also completed the drawdown of a $15 million senior unsecured tax-exempt bond with FAME for 7.5 year term at 4.375% fixed for that period. Given the current historically low recycling commodity markets and our expectation that commodity pricing will not rebound in the foreseeable future, we now expect recycling adjusted EBITDA for the year to be off budget by about $6 million. Despite the significant budget headwind, we reaffirmed our revenue, adjusted EBITDA and normalized free cash flow guidance ranges for the fiscal year, given the strength in other parts of the business. Please note though that our 2018 guidance does not include the impacts from any acquisitions that haven't been completed. However it does include the rollover impacts from acquisitions completed during 2017 and early 2018. With that, I will hand it over to Ed.
Ed Johnson: Thanks Ned and good morning everyone. From an operational standpoint, we had a very good start to the year. Our hauling and disposal segments performed very well as did our customer solutions and organics group. Our overall numbers are masked by what is going on in recycling. So let me walk you through some simple math before I continue. Our consolidated cost of ops as a percentage of revenue increased by 95 basis points in the quarter versus the prior year. In the recycling segment, as with everyone else in the industry, our revenue from commodity sales dropped and our cost increased as we slowed the lines and added labor to meet new market demands for cleaner product. Factoring off the negative impact of recycling, our cost of ops improved year-over-year by 126 basis points for the rest of the business. I will get back to recycling in a minute but there are few key points I want to hit on regarding the hauling and landfill operations. On the landfill side, demand is very strong. We are managing volumes through our permanent limits and cell construction cycles which means we are limiting tons by pushing price. Price was up 4.9% and we still saw volume up 18.7%. The new DoT electronic logging rules have shortened the distance that truckers can haul away from the heavily populated Eastern community to the Western landfills. Most of our landfills are within the [indiscernible] that the third-party haulers are looking for driving demand up for us. Collection has equally strong price performance as our process and discipline are well-established. We achieved 4.8% in price growth for the quarter. It should be noted that our SRA fee is treated the same as a fuel surcharge. So fluctuations in commodity prices passed to our customers in this manner are not included in the 4.8% price result from the quarter. Our industry is challenged by shortages of mechanics and CDL drivers. We have implemented programs in the first quarter to improve our recruitment, training and career development paths for our mechanics and will be implementing a similar program for our CDL drivers in the second quarter. We have also adopted a more specific pay rate program. We believe these programs will give Casella competitive advantage in the Northeast for attracting and retaining the workforce we need to be successful. When I was at WasteExpo last week and listened to some of the other waste company calls this week, I realized that we don't talk as much about our safety program. Here at Casella, safety is our first priority with customer service being a close second. And it's the first thing we talk about internally at company meetings or events. As a result of our focus on safety, our workers comp moderate is currently 0.83 and during the first quarter, our workers comp plan was down 26% from Q1 last year. 0.83 compares to 1.0 for the industry standard. And to give you some insights, our acquisitions last year were at a 2.8 mod rate prior to us taking over and implementing our programs. We absorb their past performance. Our mod rate prior to the hit we took for acquisitions was remarkable 0.73 in 2017 and we expect to get back to that once the acquisitions are assimilated. I want to thank everyone in the company for doing a great job in this fundamental area. Getting back to recycling. There are some significant differences in the Northeast markets in which we operate versus what you might see in other areas of the country. The biggest difference is that recycling is mandated by the state and each state has their own list of materials that are banned at the landfills or other disposal sites. In this environment, we implemented several programs a few years ago to pass commodity risk to the consumer, including the SRA fee and changes to the structure on how we bid municipal contracts and these programs have been highly successful. But I want to add a few notes to this program. One, there is a lag. Rapid changes in the market are not immediately recovered but we catch-up overtime and benefit during times of rapid improvement in commodity prices. When commodity prices produce an ACR above our processing cost threshold that they did a year ago, we share in the upside with our municipal customers, usually 50/50. That extra margin is not recoverable in the risk pass through mechanisms. The comp issue will resolve itself quickly as the ACR went below contractual threshold levels throughout 2017. Our labor cost increased during the quarter due to market demands for cleaner material. We are implementing technology to automate some of that labor and we will continue to look at additional improvements to bring the labor back down. Other higher variable costs, including higher shipping cost to new end markets other than China are not fully recoverable in many of our customer contracts. We are improving our contracts going forward to allow full recovery while we continue to work towards reducing these costs and exploring new markets for the material we produce. Our older municipal contracts don't reflect our new risk model. So things will automatically improve very substantially as they roll-off. And finally, as all the processors have slowed throughput to meet higher quality specs, capacity has come out of the market. We are not aware of any new capacity coming online and the economic situation should be an effective deterrent to entrants. So the Northeast market is a bit unique. As long as recycling is mandated by state laws and with no new processing capacity coming into the market, we see a supply and demand imbalance, similar to the landfill capacity imbalance. This shift will right itself over the next six to 12 months. With that, I would like to turn it back to the operator to start the question-and-answer session.
Operator: [Operator Instructions]. Our first question today comes from the line of Tyler Brown from Raymond James. Your line is open.
Tyler Brown: Hi. Good morning guys.
John Casella: Good morning Tyler.
Tyler Brown: Hi. Ned, just a quick clarification. It may have been my phone, but you broke up on the remediation project. So it was $3.5 million in revenues. Did you say it was at a 15 basis point margin? Or was it a 15 basis point drag to margins?
Ned Coletta: It was a 15 basis point drag to margins.
Tyler Brown: To margins.
Ned Coletta: We don't typically go on to sites and excavate or screen. We do move materials some times through transportation and disposal contracts. But this was a really important customer to us and they wanted us to manage the whole project. So we decided to do that. But we had hired third-party cost as part of doing that. And we had a 15 basis point drag overall to the company. But it was a great project overall.
Tyler Brown: Okay. So it was just a broke up. I apologize on that. And was that anticipated in the guide from last quarter? Or was it kind of a surprise?
Ned Coletta: We expected the project to happen. but we were still working through if we were going to provide all the services or not.
Tyler Brown: Okay. And it is completed, correct?
Ned Coletta: There is a little bit of it that goes into Q2.
Tyler Brown: Okay.
John Casella: It is completed now.
Ned Coletta: It is completed now.
John Casella: Yes.
Tyler Brown: Okay. All right. So please don't laugh at me here, but if you were to strip away rev rec, sludge and the remediation project, is there any way to isolate what solid waste margins did ex that noise?
Ned Coletta: Yes. So solid waste margins, if you take away, well rev rec has not hit any of our solid waste margins. It was really in recycling and customer solutions.
Tyler Brown: Okay.
Ned Coletta: And sludge doesn't hit this on waste margins. So our solid waste margins were up 250 basis points year-over-year. And we had about 20 basis point drag from the contaminated soils project, we were up about 270 basis points. But it's even better than that, because as you know, we pass through market-based rates from our recycling business to our hauling and transfer businesses. So while commodity prices are dropping we are increasing tipping fees intercompany and their SRA fee goes back to a curve to recoup that. Well, we got it a little backwards, as Ed said, because SRA fee trails. So we actually had about 100 basis point headwind as well from recycling and solid waste. So it's just a absolute stellar period for solid waste.
Tyler Brown: Wow. Okay. Great color on the recycling side. But I think last quarter, you noted that you expect on a year-over-year basis to be about $2 million to $3 million headwind and I am a little unclear, you have noted $6 million. Is that what you expect the full headwind to be this year? Or is that on top of the $2 million to $3 million?
Ned Coletta: Sorry. So we missed budget by $2 million and so that was in the first quarter and now we are saying we expect to miss budget by about $6 million for the full year and then you have to add the $2 million to that. So it's about $8 million plus for the full year year-over-year impact. When we had guided through for the year, we said we would be down about $2 million, we are about $6 million off that plan today. Ed laid out a bunch of things that we are doing to At improve our position, but we just held commodity prices flat for the rest of the year at these low landfills and we haven't put into forecasting any of these improvements. But we are working like heck to do them.
John Casella: When we get to do am improvement to the SRA fee.
Ned Coletta: Yes. Well, probably, hopefully we are hopefully a little conservative. I don't know if there is any other way to do it today.
Tyler Brown: Okay. And then on the variable cost, it's obviously a major theme amongst all the players. John, I think you touched on this. But is it correct to assume that you have protection on, it sounds like maybe some of the variable sorting cost increases, maybe labor, but not say transportation?
John Casella: I think that's a fair perspective. The technology pieces, we have completed, well, we completed one technology change at our Ontario facility and it was done basically on a labor basis. We justified the capital on a labor basis, but it absolutely gives us the ability to get to the new spec. And from Ontario, we moved to our Rutland where it's the same thing. The capital was justified on the basis of labor, but again we are going to cleanup the material as part of the capital that we spend. The place where we don't have any ability to impact is obviously transportation costs, particularly shipping costs.
Ned Coletta: If you flash back in time, we have been updating our risk programs as we learn more and you are right about one thing. One contract we never really realized until about a year, a year-and-a-half ago was that our cost structure could change very rapidly in the recycling business. But things never change as fast in the garbage business, now they are. And we always look at slight inflation on labor or a slight inflation on transportation, but our cost structure is changing very, very rapidly. So in our most modern day contract structures, we have the ability to pass that back to customers, if they change from when we entered the contract. With some of our legacy contracts, we don't have that. So we are eating some of that higher cost with those contracts.
Tyler Brown: Okay.
John Casella: One of the other things that we are doing too, Tyler, is that we have very few contracts left from a recycling standpoint. There is a handful of them and we were taking a pretty aggressive role with regard to force majeure embargo other turns that are in those contracts to have negotiations with the municipalities to fix that.
Tyler Brown: Okay. And then on the backhaul comment, Ned, so basically you are saying that sending boxes to China was effectively, I am going to say, free but very low cost because that's a highly imbalanced lane. It's a backhaul lane. But places like Vietnam and India, those are headhaul markets. So they are going to cost you a lot more.
John Casella: Double.
Ned Coletta: Yes.
John Casella: Double to those markets than it was to go to China.
Tyler Brown: Okay. And this may be a classic dumb Tyler question, but even if the slower belt speeds can't get you to the 0.5% contamination, why are you slowing them down? I mean, why not just run them as and produce a normal product? I thought you weren't really even selling to China. So are your buyers asking for a cleaner product? Or why is there a big push to improve quality if you can't meet the standard anyway?
Ed Johnson: This is Ed. Yes, the whole market in general. So now China has pulled out of the market. So now your are trying to homes for your product and the other buyers are getting a bit more picky about what waste they are going to take, what material they are going to take. So it has got to be cleaner.
Tyler Brown: Okay.
John Casella: The standards are impacted for every market, Tyler, because of what China has done.
Tyler Brown: Okay. Great. And then maybe last one here, just shifting gears. Disposal pricing, it looked like up 4.9%, 5.9% per ton. I think that's correct, but it's a little unclear again there. Is that inclusive of the remediation?
Ned Coletta: No. That project did not flow through landfill pricing statistics. That would have been treated just as volumes. If you see our volumes statistic is up $6 million year-over-year. That project, we look at disposal volumes as including transportation and transfer stations and disposal and we wrap this project through the volume line there.
Tyler Brown: Okay. Perfect. I am going to go ahead and jump back in queue. But thank you.
Ned Coletta: Thanks Tyler.
John Casella: Thanks Tyler.
Operator: And our next question comes from the line of William Grippin. Your line is open.
William Grippin: Hi. Good morning guys.
John Casella: Good morning.
William Grippin: Just had a question on the tuck-in. So in the press release you noted you have $20 million of acquired revenues year-to-date. I see the $20 million spend in 1Q but based on some basic math, it seems to imply that to get to that $20 million of acquired revenues, you must have had something chunkier close in April or May? Am I thinking about that right?
Ned Coletta: Well, in the first couple days a year, we completed the Complete acquisition for $16.5 million. We had an acquisition that happened the first day of the year, a small tuck-in Vermont, a hauling company and then on March 30, we had another tuck-in acquisition in Upstate New York that tuck into several of our businesses and it gets this close to about $20 million of revenues.
William Grippin: All right. So that seems to imply a fairly favorable multiples on those acquisitions then?
Ned Coletta: They were. Tuck-ins, if done right and you drive synergies through values. You know, we re driving after-tax unlevered returns of north 20%. The Complete deal will take a year or more to generate all of the synergies, like [indiscernible] internalization but it's well on track to drive the value we expect from that deal as well.
William Grippin: Got it. And just one quick one on recycling. So just over the course of the rest of 2018, would you guys expect a sequential improvement in recycling revenues as the SRA fee catches up?
Ned Coletta: So the SRA fee actually runs through the hauling business. So it's recognized through our other fee line. So you see fuel and other fees running through solid waste. We do expect it to be higher. If it trails one month, it looks at the previous month's commodity value to set the price in the next month. So we do expect it to be a little bit higher into Q2 than Q1.
William Grippin: Okay. So the recycling line doesn't reflect any collections on SRA fee? Then it's just a straight like price?
Ned Coletta: Yes. Things get a little confusing because there is intercompany stuff that moves behind the scenes, but what we do is we charge our businesses a tipping fee to into merc, a processing fee and it doesn't show up in the statistics, but it shows up in that dollars in the recycling business of their profitability.
William Grippin: Got you. Thank you. That's helpful. I will just back in queue now. Thank you.
Ned Coletta: Thanks Bill.
Operator: And our next question comes from the line of Corey Greendale from First Analysis. Your line is open.
Corey Greendale: Hi. Good morning. A really nice job on the quarter. So I thought Tyler's question was totally reasonable but I may have some dumb Corey Greendale questions. So on the solid waste internal growth, so first of all, I just want to clarify, I am sorry if you have said this, the soil project, did that impact price at all? Or was it totally through volume?
Ned Coletta: Through volume. We get two different pricing stats. So we give in our press release a price volume statistic and the price statistic is same customer, same type of weight, they have to be a customer at the beginning of the period and how do we change their rate year-over-year. And then any new volumes will come through volume, like this new customer. But many times, we also give an average price per ton statistic. And the average price per ton takes all of the revenues at a site or at the company and divides it by the total tons period-over-period and you look at the change in that. And what's funny is the soils the remediation job actually blended down our average price per ton slightly, but it was a very positive project that showed up in our $6 million year-over-year gain in volume in disposals.
Corey Greendale: Okay. So the number you put up for the overall price, obviously was really good. And it sounds like a lot of it is just the dynamics in the market. So there is reason, again I apologize, you might have commented, sorry, but it sounds like that should be sustainable. Is that accurate?
Ned Coletta: It's our view that it is. When you rollout with price increases, we are netting any rollbacks against that number. It's not like some sort of grossed out number. It's a true price. So as we have gone to street with price increases, they have been sticking and gives us good visibility through the remainder of the year. We don't expect anything to materially change.
John Casella: I think that we have certainly said historically over the last year or so that we think that we have got an opportunity probably for the next three or so years, Corey, because I think that we had 800,000 tons of capacity coming out of the market at the end of this year. There is another 800,000 coming out over the next couple of years. So there is substantial amount of additional capacity coming out of the market for the next few years. And consequently, I think that we are going to be in a position to continue to move out all of the lowest priced waste that we have going into the facilities.
Corey Greendale: Yes. So this is probably stating the obvious, but given kind of you are reiterating the guidance but the pieces that get there are totally different. So it seems pretty likely that you would be talking about something above the original, probably both price and volume growth that you gave for the solid waste business at the beginning of the year. Is that fair?
Ned Coletta: Yes.
Corey Greendale: Okay. Good. And then you have already talked somewhat about or more than somewhat about the moving pieces on recycling. But is there a way, without getting too granular, is it possible to quantify the year-over-year impact on recycling EBITDA, specifically of higher processing and transportation costs? Kind of splitting that out versus the effect of just lower prices?
Ned Coletta: $2.3 million, the heightened cost from processing and higher transportation year-over-year in total. And it's hard to separate it from the other programs because some of our pricing programs, as we said earlier, have cost recovery elements, some of our historic legacy contracts do not. So it all kind of melts together. But you about it, we had headline commodity price declines, but then we are moving up tipping fees or processing fees, both to third-party customers and intercompany, we reducing rebates and then we have some higher costs. So when you put out all together, we are a little bit backwards.
Corey Greendale: Yes. That's really helpful. Okay. And then looking at the free cash flow, the free cash flow is also strong. In keeping your guidance, are you still assuming $65 million in CapEx for the year?
Ned Coletta: Yes. We probably got off to a little bit of a slower start with CapEx than we had forecasted. The winter has been extremely late. Landfill construction is ramping up a little bit slower. Truck deliveries have been a little slow [indiscernible] about the full year.
John Casella: We are not quite sure whether the winter has left us or not. We are not taking any bets yet. It was 88 degrees yesterday. But we are not taking any bets for the rest of the week. We still may get more snow, I don't know.
Corey Greendale: Yes. I am highly emphatic, sitting here in Chicago. So I get it. And maybe just a last one. And others, both at expo and earnings calls this week, have said that they have seen somewhat of a recent recovery in OCC prices. But it sounds like you haven't seen? Or you are just being conservative and not assuming that?
John Casella: I think that we haven't seen it. I think that our perspective is that we don't see any reason to raise prices. We see more of a reason to have our projections for the rest of the year be at the levels that we are at now rather than project in that we are going to see price increases. We just don't see anything that gives us a sense that we are going to see any significant price increases at this point. In fact, I think that there is a potential that things could get more difficult if India, Thailand and Vietnam gets saturated with mixed paper, it could get a little bit more difficult.
Corey Greendale: Got it. By the way, I just have to say having covered Casella for probably 15 years now, I never thought I would have heard the word Vietnam mentioned on one of your calls. But I guess that's the world right now. So again, nice job on the quarter. Thank you.
John Casella: Thanks Corey.
Operator: And our next question comes from the line of Brian Butler of Stifel. Your line is open.
Brian Butler: Good morning. Thanks for taking my questions. Hi Brian.
Brian Butler: Just I guess a couple more on recycling because well, why not ask some more. So it sounds like it's $8 million total of headwind now we are talking about. With pricing staying at current levels and the SRA fee running as it's currently structured, you talked about possibly having some additional ways to improve that? Can you give a little bit of magnitude? Can that cut that $8 million in half? Or is it really just more may be reduces it from $8 million to $7 million?
Ned Coletta: Yes. So the big moving pieces might not fully get resolved this year. So if you break up the buckets of where we are behind, a part of it is transportation, as we have talked about. And if we have legacy contracts that don't allow us to pass all that back, there is no way until they roll-off to fix that issue for higher processing cost. We have made a couple of small investments in a test method to see if we can strip some labor out and get a little more efficient. You look at things like a few legacy contracts that we are backwards on, as John talked about earlier, we are working with these customers on solutions. But the good news is, they are a handful that we haven't --
John Casella: We haven't put that into the guidance.
Ned Coletta: Yes. They are not --
John Casella: But that would be upside to the guidance if we are able to renegotiate some of those. There are a handful of contracts, three to five contracts that are in place that we are renegotiating right now because of the magnitude and because of the force majeure issue and embargo issue with China not taking mixed paper at all, banning mixed paper. So we are working through that. That would represent some upside to the numbers for sure. It's not been incorporated into our guidance for the rest of the year, but it would represent some upside if we were to renegotiate some of those contracts.
Brian Butler: Okay. And then just can you remind us or maybe it's changed a little bit, the sensitivity if prices come up from the current levels? If they are up 10% or $10 a ton, what kind of impact that would have on that $8 million?
Ned Coletta: Yes. So for each $10 move in commodity prices at current levels, it's about $800,000 of EBITDA or operating income or $0.02 a share. And as you know, our programs are completely linear. So depending on where you are in the recovery, it moves around a little bit. Ed made a point earlier that was a complex one, but if we are ever above our threshold, we are sharing more the profits above our threshold levels, $0.50 on the dollar with us and our customers. So part of that Q1 headwind in recycling year-over-year was, we were above thresholds in 2017. So as we fell below them, we lost $0.50 on every dollar in that first piece and then when we fall below the threshold, we start recovering more. So it kind of depends on where you are. Where we are right now, Brian, it's about $800,000.
Brian Butler: Okay. Great. And then on the landfill side, can you talk a little bit about the new tons that are coming in, are those completely replacing the tons that are already there at a higher price? Or are those being additive in the sense that you have more capacity to sell? And how should we think about that going into the second half of 2018 or into 2019 on how much more room you have for either upselling the volume that's there or adding more volume?
John Casella: I think that we have about just under a million tons of excess capacity. So we have excess capacity in the Western region. I think that we are probably in the fourth or fifth inning in terms of moving out the lower price waste that we have coming into the facilities under contract. We still have some larger contracts that are in place that are, in our view, below market that will begin to roll-off over the next year or so. So I think we are probably in the fourth or fifth inning in terms of where we are with regard to opportunity.
Brian Butler: Okay. Great. And then on the organic solution, can you give a little bit more color on the strength there and just kind of how that works out for the rest?
John Casella: Yes. Sure. Ned kind of laid it out in his remarks. Organics was up $3 million on a new contract that just went into place, new T&D sludge contract. And then customer solutions was up $1.3 million and that's various new industrial customers, new retail customers, multisite retail customers. So I mean, both really great job from the organics team and a great job from revenue standpoint new customers.
Brian Butler: Okay. And then two more. Is the total [indiscernible] shipping to the Casella landfills and the expansion there? Any color?
John Casella: Not yet. Well, two things. So we have got favorable contracts in place right now, both from a truck and transportation standpoint as well as from a rail perspective. Those contracts are very positive contracts. We will internalize that waste probably over the next few years. And the permit application, we have begun the process from a permit expansion standpoint. The current permit is 750 and we are going to 1,250. And I think we have got good support from the community. Good support from MassDEP. One of their strategies is to ship waste out of state. That's some their solid waste strategy. So we have got support both, probably most importantly from the community, but also from DEP as well. So it will take us some time to get through that, probably over a six month period of time, I think we will probably have our permit, should have it by the end of the year, beginning next year permit expansion. But it will be a year or so before we begin to internalize that material to our Western region sites. The good part about it is, we will be able to get that waste to several of our facilities. We can get it to Clinton. We can get it to Chemung to Ontario, to Hyland. We can get it to pretty much all of our facilities in the West. So it's a terrific strategic facility for the company to help us utilizing the additional million tons of capacity that we have in the Western region.
Ned Coletta: It becomes really critical next year because Southbridge will be closed.
John Casella: Right.
Ned Coletta: So we have got to get some of that tonnage out of Massachusetts and most likely out to New York.
Brian Butler: Okay. And then just the last one. You mentioned the cost of capital. What do number you guys calculate for your cost of capital right now?
Ned Coletta: So our weighted average cost to capital, depending on what assumptions you use, is somewhere in the 5% to 6% range. You have to risk adjust these things through. And when you are looking at development opportunities or acquisitions, there's some level of risk when you are doing anything. So depending on what it is and how it fits with our assets, we are typically looking at trying to get after-tax unlevered returns in the high teens, low 20s, mid 20s, depending on opportunity and if it fits well.
Brian Butler: Great. Thank you very much.
Ned Coletta: Thanks Brian.
John Casella: Thanks Brian.
Operator: Our next question comes from the line of Tyler Brown from Raymond James. Your line is open.
Tyler Brown: Hi guys. Thanks for the follow-up.
Ned Coletta: No problem.
Tyler Brown: Ned, I apologize. I am still unclear, but the 5.9% disposal pricing, does that include remediation project? I thought you said it's basically revenue over tons.
Ned Coletta: Yes. So the 4.9% is third-party price recognized at the landfill and same customer, same-store. But the 5.9% actually does include the remediation tons. And what I said a little earlier is, that remediation is actually slightly weighed on that 5.9% rate for the period. It was a slight decline to that, but not anything too big. But it was a big project and it's soil project, which is a low lower rate typically than straight MSW or C&D in a site.
Tyler Brown: Yes, exactly. Okay. That was what I was looking for. Ed, so I loved the color on ELDs and turn times. So are you specifically talking about your Western New York landfills out of Massachusetts, that those are doable in a day?
Ed Johnson: Yes. Particularly in Western Mass, like we were wholly [indiscernible], where we bought the transfer station now.
John Casella: Also Tyler, keep in mind that at Chemung, we have a permit increase there to go from 200,000 to 400,000. It's an option that's in place currently, permit's in place. It's an option with the host community to move that facility from 200,000 tons a year to 400,000 tons a year. And obviously we will do that at the end of the year and run that facility much harder as we close Southbridge.
Tyler Brown: Okay.
John Casella: And we obviously have the Holyoke transfer station to move some of that waste which is a great round-trip from Holyoke to the Chemung facility.
Tyler Brown: Right. I am just curious, but where is that it, what I am going to call, event horizon? Meaning, where is the physical day turn limitation on those trucks? Is it before or after the Finger Lakes?
Ed Johnson: So it depends on where it's coming from, right.
Tyler Brown: Well, say out of Western Mass.
Ed Johnson: Western Mass, it would go past the Finger.
Tyler Brown: It would. Okay.
Ed Johnson: And we are going underneath the Finger Lakes for those route anyway.
Tyler Brown: Right.
Ed Johnson: To Ontario.
Ned Coletta: A lot of waste also on this Western New York landfills come up from the Greater New York City area today and it makes it to Chemung round-trip very well, Ontario, Hakes and then Hyland is a little bit further away. It's a little bit tougher to take it to that site. But all those sites are in very good transportation lanes. And there is one other, like, small nuance, is if you are a trucker, you want to run six hours in a day or you want to run 10 to 12 hours in a day. Our routes are kind of that 10 to 12 hours a lot of them which is perfect asset utilization for the trucker and really fits a lot of good lanes.
Tyler Brown: Yes. Okay. Agreed there. So one last question on recycling. But I want to kind of come at it from a glass perspective. So if I am not mistaken, the largest glass recycling in the Northeast shuttered? What happens? And I am just guessing here, but say to the million tons of glass that was being recycled, I mean is that ultimately going to end up in an already landfill constrained market?
Ed Johnson: There is a potential to do that. Some of that will be used as beneficial reuse. There is a number of construction companies that are trying to figure out whether they can substitute for aggregate. Politicians and regulators are looking at specifications to incorporate it into Department of Transportation specs because they have no choice at this point in time. We have been talking to them for years about doing it, Tyler, but I think that if they want to continue to recycle glass, it's going to have to be, they are going to have to look at specifications, we are going to find some other uses as aggregate or in base coat from a paving perspective. They have got to reset the specs though in order to be able to do that because the specs currently are too stringent and won't allow it to get done in a commercially viable manner. So I think there are going to be some changes there. And if not, then there is the potential that glass will go back to landfill.
Tyler Brown: Okay. Well, listen, you guys have been super generous with your time. Great quarter. Appreciate it.
Ed Johnson: Thank you.
Ned Coletta: Thanks Tyler.
John Casella: Thanks Tyler.
Operator: And there are no further questions at this time. I will turn back over to the presenters for closing remarks.
John Casella: Thanks everyone for being on the call this morning. We look forward to discussing our second quarter 2018 earnings with you in early August. Thank you very much.
Operator: Thank you, ladies and gentlemen, for your participation. This concludes today's conference. Have a wonderful day.